Operator: Good afternoon and welcome to H1 2024 Result. My name is Zach, I will be your operator for today's event. For the duration of the call, your lines will be in listening mode. [Operator Instructions] I will now hand over to Marco Porro, Head of Investors Relations, to start today's call.
Marco Porro: Good afternoon, thanks for taking part in the presentation of H1 2024 Results. As you have seen in the recent press releases, there are many topics to be debated. Without any further ado, I hand over to our CEO, Renato Mazzoncini.
Renato Mazzoncini: Good afternoon, thanks for taking part in this conference call. As you might have seen in the latest press releases yesterday and today, we start a happy holiday. The reasons for that are here to be seen. We will first look at H1 results, the reason for being happy, with some specific highlights. As you see, we have a positive hydro contribution. There are three topics here that are necessary to get good results from hydro generation. First, you need water. It has been raining a lot and this has enabled us to have large volumes for the water turbines. Second, we have very high plant efficiency. Availability of plants exceeds 99%, which is not usual for plants that typically have lower operating times. In some cases, they have been working around the clock. So, this stems from good maintenance, good governance, and good operation of these plants. And third, we have the dynamics of hedging. So, we have very high achieved single domestic prices, thanks to the mix between the hedged part and the minority part, which is not hedged. Then, they have been very positive market margins. The customer base, the free market has grown and all in all, the closing of the liberalization campaign has been very positive for us. We have been awarded tenders and orders in all the calls for bids in the last few years. And the margins continue to be significant. And then, regulated business markets, electricity distribution, where we are investing significantly, but also gas and water cycle, have generated significant margins, thanks to the RABs growth and to the results of investments made in the last few years. So, we have a thermoelectric production, which is a negative note. This is offsetting renewable energy sources, taking the lion's share. We have exceeded the 60% of RES. If we consider also waste to energy, we then reach 65%. And also, the DSM margin has reduced as a consequence of that. And part of this is accounted for by hydroelectric plants. Let's move on. As you can see here, we summarize the main achievements. Looking at the main ESG KPIs, here you see some data. There are the results of the incredible impact of RES, most of all hydroelectric, in this first half year. In scope 1 and 2, looking at the gram of CO2 per kilowatt hour, we have minus 41%, [126] [ph] is the target, we have set until 2030, when we have done PTI certification, using as a reference 2017, when we had about 400. So, here you see 61% renewable energy generation, with an increase of 27%. We have increased by 10% the overall installed capacity of our electricity networks, which means that peak power, we are here over-investing, considering our depreciations and amortizations, to have from 1.7 to 2.7 gigawatts as installed capacity, with an increasing reps and the attendant economics. We keep reducing water losses, and we are also very glad of having been able to reduce the injury frequency. Looking at financials, as you know, we have issued our first hybrid bond, which has been very successful. In general, the sustainable finance framework is evolving very positively, and then we have the financial part that is being tightly monitored. And here you see some details. We have increased by 31%. This is one bullet point of the price release, our CapEx in electricity network. We have opened the largest rooftop photovoltaic system in Italy, the second largest in Europe, in Fiera Milano, with about 300,000 square meters of photovoltaic panels installed on the roofs of a city like Milan, a very large system for self-generation. And we are also continuing investments in the water cycle. There is a new water purification plant in the province of Breccia, where, as you know, we manage the water cycle. The results are self-explanatory. Good news, we have here lower revenues, which means that the bills of our companies, of our citizens, of the Italian competitiveness has been improving compared to the same period last year. This is driven by the dynamics for commodities. EBITDA, we will then see later why we consider this EBITDA to be recurring. It reaches a very high level with the growth by 46% on ordinary EBITDA. And this is dragging also an impact on group net income, which grows by 75%. Ordinary group net income increases by 86%. Net financial position allows us to approach the year and when we will close the transaction with an acquisition in a very good position. The difference between 1.7 and 2 is that here we are considering the hybrid component, in the 2, we are not considering that. So, that's the impact of the 742 million on the net financial position. So, we are therefore in a very stable, very good situation. Consider the other press release. In the Q&A, for sure, you will ask me to provide more details. That is, with Ascopiave at disposal of some of our assets. I will now hand over to Luca, who will provide more details of EBITDA evolution.
Luca Moroni: Thank you very much indeed and good afternoon also on my side. Slide 5. We comment here the performance of the EBITDA growing by 399 million, 46% increase compared to last year. As you can see in the bar chart, this is mainly driven by the very good performance in generation and market, with a very good performance also of smart infrastructures and a stable performance in waste. We will comment more in detail this business unit. There are some specific slides on that. Let me just tell you that we have had a very good industrial performance, which has more than offset the energy scenario, which compared to last year in waste has led to lower margins. Let's now comment each business unit. We have first generation and trading, very good industrial performance, most of all for renewable energy sources, as anticipated by Renato. They have performed extremely well, both in terms of generation and also in terms of operating hours, and also thanks to the very high hydro levels. Also, the other RES have recorded a very positive performance, if we consider the delta perimeter for wind energy that we have had, which has allowed us to increase generation 294 million in total, more than last year, driving the growth in generation. This is offset by 9 million for so-called flexible plants, i.e. thermal production. Here, under this item, we have an additional breakdown. We have a decrease in thermoelectric production, about 60 million, 70 million, which have been more than offset by the good performance of the gas industrial portfolio and how it has been managed. Capacity market is doing well, while the last block is about trading, 35 million less than last year, also because the decrease in commodity prices and because of the volatility of prices, 552 at ordinary level, EBTDA in H1, looking at trading and generation with significant growth. On the right-hand side, you see the increase in terms of terawatts from 1.8 to 3.2, considering hydro, wind, and solar, while we have a decrease by 60% to 2 terawatts from 5, looking at the production. Next slide, Slide 7, market performance here, very solid, plus 129 [million] [ph] versus the previous year, same semester, same half, with an increase in margins, both in power and in gas, most of all in the retail market, but a good performance was also recorded with medium and large customers. We also benefit from a positive effect, which is a non-negativity that we recorded in the first half of last year, as a tale of the effects of the 2022 contracts that took higher volumes at fixed prices and therefore created some slowdown in the margins in first half of 2023, which produces a positive effect this year. We continue with our retention program as we previously shared in previous meetings. It includes some 90 millions on an annual basis versus 60, 70 millions of last year. It's an investment on the customer base for those customers that were repositioned after the energy price crisis of 2022, for which no interventions could be made to review the contracts. On the right-hand side, you see the customer base market, which grows by 42,000 units up to 3 minutes, 543. What is most important is a switch between all gradual protection services and the free market. Electricity sales and gas sales increase respectively by 6% and 7%. On page 8, you see the situation for waste. As I said before, the performance of waste is flat versus the first half of 2023, with a slight decrease for collection, with effects that partly offset the higher revenues due to increases in staff costs, also as a result of national employment contracts. A good trend in revenues was recorded, especially in new territories where we were awarded contracts last year. The treatment is doing very well because a negative performance in the energy scenario is offset by a positive industrial trend or performance rather which results in a positive total performance of 2 million, which will show its benefits in the second half of the year. On the next slide, we look at smart infrastructures, networks, basically, the effect of past investments that increase the RAB. You see it on the charts. On the right-hand side, electricity shows a RAB of 13% higher, and gas shows an increase of 8%. In the water cycle, the RAB grew by 20%. This, coupled with the fact that the remuneration, the return on regulated domestic capital increased as from January 1st, this allowed us to record a positive performance on all regulated businesses. So, we're doing well in terms of electricity distribution, gas distribution, and water cycle. Also, the management of TLR, heat, did well. This minus 10 million is due to the fact that the tax credits, the super bonus, are having their negative impact. We're talking about the contribution that was granted by high energy consumption plans last year. If we factor out this element, the effect is positive in terms of 40 million impact on the business scenario for this compartment. Here, you see the P&L. So, starting from EBITDA, 1.279 billion, we get to EBITDA of 700 million, going to depreciations that increase due to larger investments or investments that we made during the past year. We have 73 million of appropriations or provisions, risk provisions, in terms of opportunities given the excellent results. So, we decided to set aside some one-off items. We recorded a good performance for the financial management. It increases versus the previous year in terms of 8 million. Also, thanks to a good management of cash and cash equivalents. Looking at revenues before taxes, we see a profit of 207 million, which increases due to higher revenues before taxes with a tax rate that improved from 30% to 29%. 479 is a net ordinary profit. Then, we have a small extraordinary item relating to a collection that generated some capital gain, amounting to 11 million net of taxes before taxes.
Renato Mazzoncini: Thank you, Luca. Let us focus now on CapEx, page 11. Our CapEx plan is moving forward. As you know, our corporate strategy has been pursuing a very high level of CapEx for years now. We see that we have more than 60% of CapEx under development, plus 12% compared to last year. In the business plan that we submitted in the updated version of 2024, we have 1.5 billion of CapEx for the year. It is fairly normal that in H1 you have less than half of the CapEx of the year. The situation was the same last year. We closed at 3.4 billion. I would like to focus your attention on three elements. The high percentage of CapEx devoted to development. Just to the future, 78% of the CapEx is in line with the EU taxonomy. And then, you see investments on thermal plants like Monfalcone. Then, on the right-hand side in orange, you see that smart infrastructures is accounting for the majority, 30% more on electric networks due to our commitment on CapEx to be devoted to electric networks. Slide 12, you see the cash flow, which as usual is constantly monitored very closely. You see the good performance of net free cash flow management, which allows us to have an FFO before dividend of almost in line with the distributed paid-out dividend. Our operating cash generation has enabled us to fully fund the investments and the dividends paid out. Networking capital is 240 million, and this is due to the effect of fewer gas purchases considering the reduction in the production of thermoelectric plants. Then, we are approaching completion of operations from bilateral and OTC arrangements for purchase of commodities. And we have a positive effect on credit management also thanks to the seasonality effect with decreasing credit volumes in this period of the year. Then, we have a part relating to the management of tax and financials with an FFO of 832 million here, which allows us to self-finance to pay the 553 CapEx and the 300 million dividends. Then, we have an item relating to the issuance of the bond 664 NFP variation, allowing to reduce from 4.7 end of the year to 4 billion end of June with a leverage of 1.7. Excluding issuance of the hybrid bond, we have a two-buy factor, which allows us to have very high flexibility to tackle the second half of the year. Great. The good news that you have already read is we have decided to increase, to improve the guidance. In light of these results, it was pretty obvious. We amended upward to about 2.2 billion. That's the range with an net ordinary income ranging between €700 million and €720 million. The take-home messages of this first section, there are a couple of other items requiring some comments for the future. Here, you see we have a very good performance of all the business units, most especially the vision of guidance is related to energy generation and to the market performance. Then, we have the CapEx plan, which continues to be deployed without any slowdown in these four years. Also, considering NL acquisition, we reach about €8 billion CapEx. This is the reason why the EBITDA has grown by about 1 billion versus four years ago. And nevertheless, we have a very effective financial management, which allows us to optimize and control the cost of debt. And the green hybrid bond has been one of the elements which has allowed to do so. A couple of comments about the news we have anticipated. Yesterday, we have published a press release on the asset capacity market. We are very glad. We are talking about tenders. We have been awarded. And these reflect the technique, the good preparation to take part in these calls for bids in these tenders. We know how to manage the process. And we have been awarded a capacity at a significantly higher price than the price we had in 2024, so that in 2025, we will have about 80 million more EBITDA versus 2024. We will then take part, of course, in October in the next tenders, over 226 and 227, but the performance has been very positive so far. Consider that in 2025, we will also include the EBITDA of annual transaction that we are completing, last week, there was the green light of the Antitrust Authority, which has given us an approval without any limitations. Golden Power is fine. Two of the suspensive clauses have been solved. As you know, we expect a contribution of about €100 million for 2025 arising from electricity distribution related to this annual transaction. The transaction announced with our copy of it a couple of hours ago is a transaction which has been developing in the context of the reflections we were making in our business plan, assuming to cover a part of the CapEx of the investments in annual network with disposal or dismissal or swap transaction. We have been reasoning also on minorities' options. We have received an interesting proposal from Ascopiave. It's a company with whom we have already closed a deal in the last deal with Romeo. We had covered almost all of the items that were non-strategic for us because they were out of our territory or because they were contributing to the items with very low percentages. So, they had been acquired in a tender from IRE, [indiscernible] and Ascopiave. So, this is a company we have already been working together. We have a common assessment criteria and it's therefore easy to move forward with them. It's worth mentioning that as written in the press release, we are essentially talking about all of our ATEM gas except for Milan where we are present at 100%. There has been a tender where we have been awarded the contract. In these items, on an average, we had 63%. If we had decided to remain in this tendering context, we should have invested for 37% for the missing part so as to take part in the process and be awarded the contracts. In territories like province of Brescia, which is an important historical base, we had the ATEM where we had a stake of 26% in Brescia 4. In other cases, we had a slightly higher percentage as it was the case in Brescia 2, 44% and center of Brescia 85%. These are all ATEMs where the decision to remain was linked to investments in the development of the gas network. While Milan does not require any CapEx because it's a complete ATEM with a service contract and its own process for the next 12 years envisaging additional investments, we are very happy of that process. And also, in this case, the due diligence is going to start immediately after the summer break and we will be working in good faith to come to signing around the year end with an impact on asset transfer if we manage to close the operation, which will take place during 2025, could be mid of 2025, as we will see. I think we have given enough news and now we open the floor to the Q&A.
Operator: Thank you very much. [Operator Instructions] The first question comes from Javier Suarez from Mediobanca. You have the floor.
Javier Suarez: Hello. Good afternoon and thank you for the presentation.
Operator: Sorry, the audio disappeared.
Renato Mazzoncini: I'm sorry, Javier, we lost you. I guess you said you had three questions, but we lost you.
Javier Suarez: Okay, I'll start again. My first question is, what is a reasonable assumption for hydraulic or water production in 2024 and 2025 from your viewpoint? Connected to this, I would like to know the level of prices that you established for 2024 and 2025, the contribution of the DSM market in the first half and the expectations for the whole year 2024. The other question is, with regard to the guidance, can you give us guidance in terms of data by year end? I would like to understand more of the change in working capital, the 240 working capital discrepancy. Where do you see it? And then the auction for the capacity market of 2025. We saw the outcome as a reasonable guidance for the auction for 2026. Thinking of 2028, how can the profitability of auctions be impacted as a result of those existing options? Thank you.
Renato Mazzoncini: Shall we take more questions or shall we proceed one by one? We answer first. As to the hydro production, Javier, in 2024, if you remember when we did our last call on the quarterly results, we thought of region 4.4, which is the historical average of the 10-year period of 2030. Now, the value is around 4.8. It's not unlikely for that value to increase. It's a combined effect of a large quantity of water and electric plants that you saw recently, by the way, that are technically performing very, very well. For 2025, we estimate 4.8, keeping half-terra of half-full basin to help 2025. As of 2025, today, in our plans, we are cautiously forecasting 4. That's a prudent. We hope that we will get an upside and a downside. In terms of prices, hedging for 2024-2025, as to 2024, if you remember, the hedging we had was in excess of 65%. It has decreased slightly because we have higher production volumes. We are at 59% for an average price of 151. As far as 2025 is concerned, we already covered 40%, hedged 40% at an average price of €120. So, I would say that also for 2025, we are placing ourselves in a good position, considering also the energy scenario reflected in the plan, which is at 110. As for the performance or the trades for DSM, as you saw, the first six months were around 40 million, 45 million, so we plan to close at around 80 million, 85 million. This is a value that we know we'll have probably in the future. Also, in our business plan, we started from 150 million to then go down on a year-by-year basis to reach 80 million, 90 million in a fairly stable manner, which is what we believe to be reasonable for the next few years. As far as the NFP guidance is concerned, with the working capital in the second part of the year, especially in the last quarter, we will suffer a bit from seasonality. The networking capital will be slightly higher than the first half, again, driven and controlled. In fact, we can easily say that we will hit the target of 2.8 of leverage, including the effort for the acquisition of Enel Scope, so within 2.8. So, most likely, it will be 2.6x, 2.7x. On capacity, it's a more complex Javier, because now we plan to see what happens in October 2026 and 2027. We expect the prices to keep the values that we shared, so we do not expect any discrepancies. Do consider that in mid-2026, the Monfalcone plant will be commissioned by itself, it will generate 10 million EBIT per month. So, the amount of capacity for the future, in the years expected to be reached, in the years 2026, 2027, and 2028, is a combination of our current capacity and the production expected from the Monfalcone plant. So, the calculation is a bit more complex, but in our view, the capacity is continuously on the increase. Considering the values reflected in the plan, I mean the business plan that we submitted in 2024 until 2035, for 2025, it included 6 million less than what we have. And after the question about the market capacity from 2027 to 2028, I was interested in knowing what happens in the auction on storage and your view on that. What are you talking about, Javier? For storage, yes.
Javier Suarez: So, the options for capacity in the future, I think they will include the existing capacity plus what will come for storage. How will this affect the profitability of the business from 2028 onwards? That's my question.
Renato Mazzoncini: I mean, it's hard to provide figures on this. I can tell you what we put in the plan. For instance, in 2028, the plant capacity is around €180 million. But at the values at which auctions are performing today, I would say it's underestimated. So, it's reasonable to believe that these values will sort of line up, because when all the plants finance with a capacity or auctions will be commissioned and become operational, our plants, Edison's and Enel's, and the [contendable] [ph] demand will certainly decrease. So, the capacity will be determined by the new commissioned plans. As of today, however, our situation is such where we have for this year 150 million of capacity market for 2024. Next year, it will be 230, and we expect to keep such a value for 2026 and 2027. By 2027, Monfalcone and some positions of our current plants will come out. Monfalcone will become operational. So, the estimate we did around 280 million was based on the auction value. Now, we are in excess of 20 million. So, we expect to keep a value well above 200 million.
Operator: Thank you. Next question by Stefano Gamberini from Equita. You have the floor.
Stefano Gamberini: First of all, I have two questions. With the transaction in Ascopiave, are we replacing the minorities to finance the retail? So, will the process of the issuance of hybrid bond be completed? And this is the second step. Or should we expect something more in addition to this? I understand that the evaluation of RABs cannot emerge. I was making considerations considering the RAB of A5. You can estimate the value to be at about 150 million of RAB. Maybe you want to comment on that. The second question is about 2025. Sorry, the 2024 guidance. The energy generation market part has been increased in the guidance. It should be about 1.3 billion of EBITDA at year end. And you said you can do even better in the energy production. I'd like to focus on 2025. What can we expect from this? You said increasing capacity market. But then what's going to happen with the other building blocks? There are items that can be considered to be one of this year. And I'd like to understand more of the market side. You said that there are €80 million, €90 million of assets to maintain retaining activities. I don't understand what happens. Next year with the obtained customers and the other disappears, the EBITDA will increase by 80 million. Did I get you correctly? The last thing I would like to understand relates to hydroelectric energy. For Iren, it seems that the offering, the bid of project financing will be confirmed because the appeal of the local operator has been rejected. So, do you think this could be the guideline for the future? Or do you still believe that the Italian government until year end can intervene with the European Union in terms of lengthening of concessions in return for investments?
Renato Mazzoncini: Thanks, Stefano. For Ascopiave, the transaction with Ascopiave is very important from a strategic point of view for two reasons. First one, it moves in the direction that we have already selected to be increasingly an operator focused on electricity generation and distribution, cleaning some way the activities. Consider that Milan ATEM, considering its stability, has a very strong integration of operations with the electricity grid of Milan. Red intervention teams are already fully integrated, while in other areas, of course, they were just operating in gas. Another strategic element lies in the fact that this gives us time to consider additional options. So, my answer would therefore be that for sure we are considering other options to further improve our financial position, most of all to be ready to seize possible opportunities. You see how fast we are able to seize them when they appear to us. We want to have enough liquidity for that. We don't think we are going to touch A5. The situation there is too complex in terms of stakeholders. So, considering a possible transaction on A5 would be extremely complex. So, another option relating to minorities is still open. But the great benefit is that the combined effect of the hybrid bond and Ascopiave transaction makes us confident we can close the year with payment of Enel transaction without any anxiety. And then this is, as I said, there could also be the option of a swap or disposal. The benefit would be that we could then maximize the economic outcome of the decisions made. Considering the guidance and the market, as already said, the market in 2024 takes 80, 90, almost 19 million for retention actions. Part of this cost will be recurrent in 2025. In Q1, we will have a tail effect of contracts that have been repositioned. So, we will have 20 million, 30 million that we are going to spend also in 2025. But there will be a different impact on the EBITDA. And as a matter of fact, in 2025, this is then no longer to be perceived. Generation would decrease by effect of the energy scenario. As of today, also the hedging levels we have are at a lower price than we had in 2024. A couple of days ago, we were awarded capacity market contracts with 80 million more compared to what we had originally assumed compared to the value for 2024. And this allows us to offset, to compensate the difference, also because the water level difference we are assuming here, so from 4.8 to 4, generate 0.8 tera, which compared to the assumed plan means a positive delta with a positive effect also at capacity level. So, we are assuming to maintain a guidance which is essentially aligned in generation and market. So, we assume alignment with 2024.
Stefano Gamberini: Thank you. And what about tenders and auctions?
Renato Mazzoncini: I don't think Iren will be the frontrunner. I'm glad that this appeal has been rejected. I think the scheme will not be in Iren style. They have a relatively small concession, I think 0.5 installed capacity. We are tackling the problem at national level. So, in Southern Italy, there is a water shortage, a severe one. So, we will re-propose the central role of this aspect. We hope that new UE commissioners will be appointed to restart the debate about competition law decree and also the interaction with the Italian government seem to reflect this attitude. So, there still seems to be a certain level of asymmetry in Europe. There is an interview of Nicola Monti today in Sole 24 Ore, if I remember correctly, which well reflects that concept. I can confirm that this is our guideline. So, we expect hopefully until year end the situation to start. The new commissions will start operating next October. So, there will be short-time before year end. But we expect with the new commissions, with the new commissioners to restart discussions on the topic to find an alternative process, i.e., entrusting to current players in return for their investments, for their CapEx crystal clear.
Operator: Next question, Emanuele Oggioni, Kepler Cheuvreux.
Emanuele Oggioni: Thanks for your presentation and congratulations for your delivery. I have some follow-up questions. I need more details on topics you have already presented. You have given a revised H1 2024 RAB in distribution, 1.7 billion. Can you please provide an update also on the figure of delivery points? And then, talking about capacity market, this 60 additional millions versus business plan in 2025, are they maintained if we assume to have the same prices? So, will this €60 million be replicated also in 2026 and 2027? Can you please confirm that? And the last question is about profitability of the retail business. It's not clear to me, based on the previous answer, whether in 2025, at the end, we will have a net increase, assuming a stable customer base, whether we will have a net EBITDA increase driven by the fact that we will no longer have these additional €80 million marketing costs. That's not fully clear to me. Thank you.
Renato Mazzoncini: Points of delivery. We have 1.857 million delivery points. Capacity, I confirm what I was saying earlier. We expect auctions for 2026-2027 to be awarded at aligned levels. There is no new capacity. There are no reasons, considering the structure of the auctions, to assume that they will lower optimal start levels, 85,000, or to expect a significantly different scenario. The plans that are available are these ones. If you don't change the mechanism for these actions, the values will be comparable. In retail, we assume a net value on the rise next year in retail business, mainly due to the effects I was describing earlier. So, mainly this will stem from the end of this retention campaign with its attendant costs. And this retention campaign has been quite successful for the mass market, including the PPA's mass market, 100 terawatt hours. This year, with 100 terawatt hour, we have individual contracts for 2 terawatt hours each. And the PPA values, therefore, are quite comparable with larger ones. We were saying we are going to get 2.3 terawatt hour PPA in the retail business. We will do that. This will make our business very stable. We assume, therefore, an EBITDA for market in 2025 to be higher than in 2024.
Emanuele Oggioni: A follow-up question on potential new acquisitions, maybe from 2025 onward. Will the focus be on generation of renewables or electricity networks with further disposals, maybe, of gas network parts? But from this point of view, in the last few months, especially in Sardinia, apparently, the opposition by local community to large working sites, which affects capacity to being sold, several manifestations were organized against that. People are blocking ports and so on. I would like to have your comment on this.
Renato Mazzoncini: Well, I will give a general comment and then a comment on A2A. We have a lot of renewable energies, which is a small value, however, compared to the market share. So, I'm not worried of delivering on this. To reach peaks in plants with the balance between demand and supply are positive, like the one in Friuli Venezia Giulia, which provides for 160 megawatts, and it's the biggest in Venice today. There is such a demand for electricity and shortage of renewables that there is no issue. Probably, it's more culturally aligned. This does not affect the level of prices. So, we are working with our solid pipeline. We have about 2 gigabytes of pipeline. So, we are not anxious. We are not being pressed to achieve big volumes of renewables. We can afford to be more selective. In Italy, overall, the problem is quite bad. I mean, the measures that were issued recently, DDL, agriculture, and other pieces of legislation, generate an increase in energy production costs. Because if you do agrivoltaic plants, if you significantly reduce the eligible areas, of course, the result is that the plants that can be built from a technical viewpoint, they are three meters high instead of being at ground level. Or in terms of value of land, well, that would have a major impact on CI. This is a critical issue. But as we said in other occasions, this issue is compensated by another decree, which potentially will allow to develop gigas of renewable energy, which includes solar energy at around €85 per megawatt hour. So, countrywide, the risk is that the GSE would be the only manager of energy, providing energy at a very high price, and then someone would get in the middle and charge for that. It becomes an issue of economic politics. So, this is my view.
Operator: Thank you. [Operator Instructions] There are no further questions.
Marco Porro: Well, thank you for your attendance. We wish you all good holidays, a good summer break. And you will get potential follow-ups to today's communications. Of course, the HR is always here for you if you need us. Thank you very much.